Operator: Welcome to the Curtiss-Wright Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Jim Ryan, Vice President of Investor Relations.
James Ryan: Thank you, Erica, and good morning, everyone. Welcome to Curtiss-Wright's Third Quarter 2025 Earnings Conference Call. Joining me on the call today are Chair and Chief Executive Officer, Lynn Bamford; and Vice President and Chief Financial Officer, Chris Farkas. A copy of today's financial presentation and the press release are available for download through the Investor Relations section of our website at curtisswright.com. A replay of this webcast will also be available on the website. Our discussion today includes certain projections and forward-looking statements that are based on management's current expectations and are not guarantees of future performance. We detail those risks and uncertainties associated with our forward-looking statements in our public filings with the SEC. As a reminder, the company's results and guidance include an adjusted non-GAAP view that excludes certain costs in order to provide greater transparency into Curtiss-Wright's ongoing operating and financial performance. GAAP to non-GAAP reconciliations are available in the earnings release and on our website. Now I'd like to turn the call over to Lynn to get things started.
Lynn Bamford: Thank you, Jim, and good morning, everyone. As you saw in last night's results, we continue to deliver on our Pivot to Growth strategy. Our top line is accelerating. We continue to drive operational and commercial excellence initiatives throughout the organization while making focused investments and remaining measured in our approach to capital allocation. Looking ahead, I am encouraged by the positioning of our technologies across the A&D and commercial markets we serve and see meaningful growth opportunities for Curtiss-Wright well into the next decade. Later in our prepared remarks, I'll spend some more time discussing Curtiss-Wright's opportunities for growth within those markets and we'll provide some high-level commentary on our outlook for 2026. The momentum continues to build, and the team and I are excited about the long runway ahead. With that, I'll turn to the highlights of our third quarter 2025 results. We delivered another strong operational performance with revenue and growth in operating income across all 3 segments. Overall, sales of $869 million represented an increase of 9% year-over-year, in line with our expectations and highlighted by 6% organic growth. Operating income increased 14% year-over-year, exceeding our sales growth and driving 90 basis points of overall operating margin expansion to 19.6%. This translated into a 14% year-over-year increase in diluted earnings per share. This result slightly exceeded our expectations based on improved operational performance and fewer shares outstanding. Free cash flow was $176 million, up 8% year-over-year, reflecting nearly 140% conversion due to higher cash earnings and lower tax payments while increasing growth investments in capital spending. Regarding our order book, new orders increased 8% and resulted in an overall book-to-bill, providing continued confidence in future top line growth. Starting with our A&D markets, we continue to experience strong demand for commercial aerospace products, signaling a low risk of destocking as production ramps across the major OEM platforms. In naval defense, we saw higher orders for nuclear propulsion equipment, supporting the U.S. Navy's current and next-generation submarine programs. Those increases in demand were partially offset by the timing of orders within our aerospace defense and ground defense markets where despite some delays due to the extended continuing resolution. Within our commercial markets, we experienced tremendous growth in commercial nuclear orders, including 2 new DOE-funded multiyear contracts in support of Idaho National Laboratory and other government sites. This is a small but growing opportunity, which leverages Curtiss-Wright's nuclear pedigree and broad portfolio of products and services in support of increased government focus towards commercial nuclear. We continue to experience solid demand for aftermarket equipment supporting planned outages and restarts in addition to new development contracts supporting SMRs. Overall, the continued growth in orders builds on Curtiss-Wright's already strong backlog, which is now up 14% year-to-date, reaching a new record in excess of $3.9 billion. Regarding our updated full year 2025 guidance, our strong year-to-date performance and growing backlog have provided confidence to once again raise our overall outlook for sales, operating income and earnings per share. We now expect sales to increase 10% to 11%, reflecting the strength within our A&D markets. This, in turn, supports a new range of 16% to 19% growth in operating income. We continue to expect more than 100 basis points in margin expansion and remain on track to deliver record operating margin in excess of 18.5%. Diluted EPS is now expected to grow 19% to 21%, which also includes the benefits of our increased 2025 share repurchase activity. And lastly, we maintained our free cash flow guidance while accelerating overall capital expenditures to support future growth initiatives, and we continue to expect strong free cash flow conversion exceeding 105%. In summary, Curtiss-Wright's strong year-to-date execution and demonstrated success under our Pivot to Growth strategy ensures that we remain well positioned to deliver exceptional results for the full year. Now I would like to turn the call over to Chris to provide a more in-depth review of our financials.
K. Farkas: Thank you, Lynn. Turning to Slide 4. I'll begin by reviewing the key drivers of our third quarter 2025 performance. I'll start with the Aerospace & Industrial segment where overall sales increased 8%. In the segment's commercial aerospace market, growth was driven by continued strong demand supporting increased production on both narrow-body and wide-body platforms. In aerospace defense, we experienced modest growth for sensors and surface treatment services supporting both domestic and international fighter jet programs. Within the segment's ground defense market, our results reflected increased EM actuation sales supporting ground-based mobile launcher systems for the U.S. Army's IFPC program. In the general industrial market, sales were flat overall despite the ongoing macro challenges affecting global industrial vehicle markets. And turning to the segment's third quarter profitability. Operating income grew 17%, while operating margin expanded 140 basis points to 18.6%. These strong results were driven by favorable absorption on higher A&D sales, restructuring savings and a more favorable mix of business. Next, in the Defense Electronics segment, sales growth of 4% exceeded our expectations, mainly due to the timing of tactical communications equipment revenues within ground defense as some revenues and deliveries accelerated into the third quarter. Within the segment's aerospace defense market, growth for embedded computing equipment supporting European fighter jets and domestic UAV programs was partially offset by the timing of revenue on helicopter programs. Growth in the segment's naval defense market was driven by higher embedded computing equipment revenues supporting both domestic and foreign military customers. In the segment's commercial aerospace market, we once again experienced solid sales growth mainly for our flight data reports supporting the FAA's 25-hour safety mandate. Regarding the segment's operating performance, we delivered a strong operating margin of 29.2%, up 270 basis points and ahead of our expectations, reflecting favorable absorption on higher revenues, the benefits of our ongoing operational excellence initiatives and a more favorable mix of higher-margin business. Of note, this favorable mix is mainly due to the timing between the third and fourth quarters, and we expect this to normalize across the remainder of the year. Turning to the Naval & Power segment, where overall sales increased 12%. In the naval defense market, we once again experienced strong revenue growth driven by the acceleration of production on both the Columbia-class and Virginia-class submarine programs. Those gains were partially offset by lower sales within the segment's aerospace defense market based on the timing of arresting systems revenues. And as a result, as we look ahead to the fourth quarter, we now expect a strong sequential increase in revenues for arresting systems products, principally supporting international customers. In the power and process market, our results reflected yet another solid contribution from our I&C Solutions acquisition, formerly known as Ultra Energy, driving higher sales to both our commercial nuclear and process markets. On an organic basis, commercial nuclear sales grew more than 10%, reflecting the ramp-up in development across several SMR designs as well as higher government nuclear revenues. Sales in the process market were down slightly overall, but reflected modest growth in subsea pump development revenues. Regarding the segment's operating performance, operating income grew 14%, while operating margin expanded 20 basis points to 16.6%, mainly reflecting favorable absorption on higher sales, which was partially offset by higher research and development supporting next-generation SMR designs. To sum up Curtiss-Wright's third quarter results, the strong top line performance resulted in an overall operating margin of 19.6%, driving 90 basis points in operating margin expansion. Turning to our full year 2025 guidance. I'll begin on Slide 5 with our end market sales outlook, where total sales are now expected to grow 10% to 11%, driven by improved expectations for organic growth across our A&D markets. Starting in aerospace defense, our outlook of 7% to 9% sales growth remains unchanged and continues to reflect strong growth in defense electronics as well as higher sales of aircraft arresting systems equipment. Within ground defense, full year sales are now expected to grow 7% to 9% based upon increased EM actuation sales as well as higher tactical communications equipment revenues. In naval defense, while we expect a sequential decline in revenues in the fourth quarter based upon the timing of material receipts, the strong year-to-date performance on submarine platforms provides us with confidence to raise our full year sales guidance to a new range of 9% to 11%. Looking more broadly across all 3 defense markets and based upon our strong backlog supporting key platforms globally, we're well positioned for continued solid growth in these markets in 2026. Turning to commercial aerospace. Our outlook for 13% to 15% sales growth is unchanged, and we remain on track to deliver strong growth based upon both the ramp-up in OEM production as well as increased sales of flight data recorders within our Defense Electronics segment. Additionally, our order book in commercial aerospace continues to demonstrate tremendous growth, providing increased confidence in our 2025 outlook and our ability to once again deliver strong growth in this market in 2026. Wrapping up our Aerospace and Defense outlook, we now project total sales in these markets to increase 10% to 11%. Moving to our commercial markets. In power and process, despite some timing between the third and fourth quarters, our outlook for 16% to 18% sales growth remains unchanged. Of note, the continued strength of our commercial nuclear order book now provides us with increased confidence to be closer to the high end of our full year guidance range in this market. Overall, our outlook continues to reflect a combination of strong organic revenue growth as well as the contribution from I&C Solutions. And lastly, in the general industrial market, while we continue to expect flat sales in 2025, our team has done a great job positioning Curtiss-Wright to overcome the ongoing global macro challenges facing industrial vehicle markets. Wrapping up our total commercial markets, we continue to target strong full year sales growth of 9% to 11%. Moving on to our full year 2025 outlook by segment on Slide 6. I'll begin in Aerospace & Industrial, where we raised the floor of both our revenue and operating income guidance based upon the strong year-to-date performance in our A&D markets. Overall, we continue to project sales growth of 4% to 5%. Regarding the segment's profitability, we continue to project operating income growth of 6% to 9% and operating margin expansion of 30 to 60 basis points, ranging from 17.3% to 17.6%. Next, in Defense Electronics, we increased our revenue guidance to a new range of 10% to 11%, reflecting solid growth projections across all A&D markets and improved confidence as we close out the year. Regarding the segment's profitability, we now expect operating income growth of 19% to 22% and operating margin expansion of 220 to 240 basis points to a new all-time high range of 27.1% to 27.3%, reflecting more favorable absorption, the benefits of our commercial and operational excellence and mix on higher sales. At Naval & Power, we now expect sales to grow 13% to 15%, including 7% to 8% organic growth, reflecting our increased naval defense market outlook and our overall strong backlog, which provides solid long-term visibility. Regarding the segment's profitability, we raised our operating income guidance to a new range of 17% to 20% based on the higher revenue growth. However, we maintained our prior margin outlook of 16.3% to 16.5%, reflecting the increasing mix towards naval revenues. To summarize our 2025 outlook, overall, we now anticipate total Curtiss-Wright operating income to grow 16% to 19%, and we continue to expect operating margin to range from 18.5% to 18.7%, up 100 to 120 basis points. And as a reminder, we are delivering these strong results while continuing to grow our total research and development across the portfolio, positioning us for future organic growth. Continuing with our financial outlook on Slide 7. Building upon our year-to-date performance and expectations for continued strong growth in earnings, we have increased our full year adjusted diluted EPS guidance to a new range of $12.95 to $13.20 or up 19% to 21%. Note that our guidance now includes a reduction in other income due to lower year-over-year interest income resulting from the accelerated share repurchase activity, which also supports a lower share count. We also reduced the bottom end of our tax rate, which now reflects a range of 21.75% to 22% as we continue to pursue and demonstrate success in our tax optimization strategies. Overall, we remain well ahead of the EPS growth targets that we set at our May 2024 Investor Day as we continue to compound earnings at a mid-teens pace over time. And lastly, we're maintaining our free cash flow outlook and expecting to deliver record free cash flow of $520 million to $535 million, up 8% to 11%. Of note, based on the strength in earnings, we increased the low end of our expectations for operational cash flow by $10 million. That increase was equally offset by a $10 million acceleration in anticipated capital expenditures. As a result, our outlook for $85 million in capital expenditures now reflects an increase of approximately 40% year-over-year and is reflective of our ongoing investments to support near- and medium-term growth. And despite these increased investments, we continue to expect cash flow in excess of earnings and a free cash flow conversion rate of approximately 108%. Now I'd like to turn the call back over to Lynn.
Lynn Bamford: Thank you, Chris. And turning to Slide 8, where I will wrap up today's prepared remarks. As we demonstrated today, we continue to build momentum and deliver consistently strong financial performance through our relentless focus on execution. As a result, we are positioned for a strong finish in 2025 with expectations to generate record full year financial results across all major metrics. As mentioned in my opening remarks, as I look to the future of Curtiss-Wright, I am excited about the positioning of our technologies across the A&D and commercial markets we serve. This position is driven by thoughtful and targeted investment to ensure that our businesses remain deeply aligned to the major near, medium and long-term growth vectors within our end markets. I would like to spend just a few of the next minutes highlighting several of those critical market dynamics that have and will continue to provide compelling upside for Curtiss-Wright well into the future. Starting in defense, we are well positioned to capitalize on the continued acceleration in global defense spending based on the accelerated pace of growth in NATO and allied funding and our strong alignment to U.S. priorities. For example, in shipbuilding, which ranks near the top of the priority list of the combined FY '26 budget and reconciliation bill, we have significant content on Columbia-class and Virginia-class submarines and the Ford Class aircraft carrier program and also continue to receive significant development funding on the next-generation SSN(X) submarine. Additionally, Curtiss-Wright's position as a mission-critical partner to the U.S. Navy has led to a meaningful increase in maritime industrial base funding, now up to $40 million and nearly double our pace entering the year for investments in capital equipment and capacity expansion to support our near- and long-term growth, and we continue to believe there's still more funding expected to come our way. Beyond the strong support for shipbuilding, I would also like to highlight our confidence in defense electronics, where we continue to maintain a leading position with the broadest and most differentiated portfolio of products and with our alignment to open standards like SOSA, MOSA and CMOSS. We are investing in and developing a broad range of technologies to support the battlefield of the future focused on the highest processing capacity, interconnect speeds and secure communications, which in turn will allow us to secure positions on a wide range of applications at the tactical edge. We also have a great opportunity to support Golden Dome. Curtiss-Wright has the potential to provide numerous solutions across our Defense Electronics segments, including embedded computing, tactical communications, tactical data links and EM actuation equipment. Elsewhere, we remain aligned with Rheinmetall to support increases in ground vehicle production throughout Europe with our Turret Drive stabilization systems, and we were pleased to recently announce Curtiss-Wright's collaboration on the prototype phase of the U.S. Army's new XM30 combat vehicle program. In commercial aerospace, we have a strong foundation with established content on every Boeing and Airbus platform and remain well positioned to support the anticipated production rate increases going forward. Beyond our existing content, we continue to address our customers' future needs through development of sensor technology in the hottest sections of the engine, EM actuation equipment and specialized coatings, all of which are yielding new opportunities for growth. And as Chris noted earlier, we are delivering improved cockpit voice recorder solutions to the market to meet FAA and EASA safety mandates for longer recording capacity. While we have yet to define the full opportunity set, this has begun to translate into meaningful revenues this year and is forecasted to accelerate over the next several years to support both retrofit and new build opportunities. Turning to our commercial markets and starting with general industrial. Despite the ongoing global macro challenges affecting the industrial vehicle market, our order book has remained generally stable over the past 12 months and actually inflected slightly higher in the third quarter, which is an encouraging sign heading into 2026. Our team has done a great job navigating the impact of tariffs, driving pricing initiatives and building upon its leadership positions to generate market share gains, which is enabling us to remain essentially flat despite the declining industry growth rates in this market. In the process market, we continue to drive innovation and diversification of our critical valve technologies to position the business to support future growth segments, such as the LNG market, which is expected to experience a significant surge in production by the end of this decade. In addition, we are developing applications to drive enormous value and savings to customers that operate deep sea drilling and offshore production facilities. Our first subsea pump was delivered to Shell in the third quarter, while our development testing and support activities with Petrobras and others continue to progress. Through the advancement of this new technology, we have an opportunity to win significant new business by the end of this decade. Lastly, turning to commercial nuclear, which continues to play an important role in meeting future energy demand. Curtiss-Wright is very well positioned to support the strong growth anticipated to drive this market over the next 25-plus years. Our technologies are aligned to support the entire life cycle, both in new build from AP1000 reactors to small modular reactors and in our growing global support in the aftermarket. Our opportunity to reach our Investor Day objectives has been reinforced by the administration's focus on nuclear as a matter of national security. In addition, it is encouraging to see more and more technology companies address their base node power needs and support future data centers through nuclear power. Adding to that, while we have been seeing continued progress from Poland and Bulgaria and other European countries to build new 1 gigawatt plants, private enterprises such as Fermi in Texas have raised the possibility of beginning construction on new AP1000 plants within the next 12 to 18 months. As a result, we see the potential for significant orders supporting AP1000 reactors likely as soon as 2026. This, in turn, provides us with increased confidence in our ability to meet our 2028 target to double our 2023 revenue base in this market and then generate more than $1.5 billion in annual commercial nuclear revenues by the middle of the next decade. The momentum and pace of activity continue to grow. Overall, looking across all our end markets, these are just a few of the many examples highlighting the alignment of our technology to strong positive market growth vectors that are driving confidence in our outlook for 2026 and beyond. Next, I wanted to share a few comments on the topic of capital allocation and highlight our third quarter announcements regarding the acceleration and timing of our share repurchase activity. In May, the Board approved a $400 million increase in our share repurchase authorization, reflecting their confidence in the company's strong free cash flow generation and the momentum we are building in the Pivot to Growth strategy. Subsequently, in August and then again in September, the Board approved our request for 2 separate $200 million expansions of our 2025 share buyback program. As a result, we now anticipate a record of more than $450 million in share repurchases this year. We continue to see the value in our stock price relative to the strong growth and earnings potential in front of Curtiss-Wright. Aside from share repurchases, our record free cash flow generation and efficient balance sheet continue to provide flexibility to enable future growth under our strategy, including ongoing investments in R&D, talent and systems as well as acquisitions, which remains our top priority beyond fueling the core. Lastly, to conclude our prepared remarks, overall, we remain on track to exceed the 3-year objectives provided at last year's Investor Day. Note that these targets exclude an AP1000 order, which, as we mentioned earlier, is anticipated in 2026. As we look ahead to next year and beyond, the strength of our order book, expanding positions across our end markets and the contributions from our capital allocation strategy ensure that we are well positioned for continued profitable growth well into the future. In 2026, we are targeting solid top line growth in each of our 3 segments and continued operating margin expansion while increasing investments in research and development. In summary, we are executing on our Pivot to Growth strategy by compounding earnings at a mid-teens pace and delivering consistent financial performance across all major metrics. Momentum continues to build at Curtiss-Wright, and we remain committed to driving our business to new heights and delivering exceptional results for our shareholders. Thank you. And at this time, I would like to open up today's conference call for questions.
Operator: [Operator Instructions] Our first question is coming from Myles Walton with Wolfe Research.
Myles Walton: Lynn, I was wondering if you could pick up where you left off on the AP1000 and maybe speak to the shipset content that you have currently on that reactor. I've classically thought about it as $30 million for reactor coolant pumps. But is the complement of your work scope improving there, increasing? Maybe just to level set us.
Lynn Bamford: Thank you. It's a timely question as we've been really looking into this and making sure we're appreciating the full range of content we have. And you start out with the RCP, the last time they were sold was just over $28 million per RCP. So you're in line with what you're thinking there. I'm really pleased, we've made some rough comments on this in the past, we've historically said our content on top of the RCPs is $10 million to $20 million of content. And the team is doing a really good job of increasing that incremental content. I think 2, 3x from what we had prior had is what today is in play for Curtiss-Wright. These are ongoing pursuits. So nothing is assured yet. But I do think we are going to really add meaningful business on top of the RCPs to the content we have for AP1000 plant.
Myles Walton: Okay. Great. And then just a follow-up, if I could, on the bookings. Could you provide that by segment? And Defense Electronics, in particular, did that bounce back? And is there any concern on the government shutdown?
Lynn Bamford: So maybe I'll start with a little color on bookings and then maybe Chris can walk through a little bit more of the specifics after that. So broadly speaking, good quarter, 1.1x book-to-bill. But the government shutdown and CR and now shutdown is having some impact on portions of our business. Our largest end market, the naval defense market, there really hasn't been much disruption. Our year-to-date results and especially the growth in submarine programs are very strong. We work on large multiyear contracts. And so that portion of the business has not been very affected. The most prominent impact within our order book has been in the Defense Electronics segment, where the team has identified over $50 million of orders that have pushed out of Q3 during the CR. And so this is definitely something that we're very closely tracking. We feel very confident none of this business has gone away. The guys in the field talk to the customers, and it's really a matter of being able to process this business that the pipeline of business across defense electronics is healthy and growing. And there's a lot of things -- I want to take the time to just talk on a couple of things that we're doing that is -- gives understanding as to why we are able to grow the pipeline of business for this so much. And the things that have kind of come up, but just to touch on them briefly. We are confident we have the strongest MOSA, SOSA, CMOSS aligned offering in the marketplace. And this year alone, we've introduced 20 -- over 20 new product introductions into this family of products, which is a very strong contribution out of the team and something we're really proud of. We have talked about our NVIDIA partnership that we are now delivering NVIDIA-based products at the GTC show just a little while back, we were the only company to demo a CMOSS-based Blackwell processor. So again, that's something very special to Curtiss-Wright. Our Fabric100, which is the highest speed interconnect available in the marketplace is out and helping really provide a very unique differentiator for Curtiss-Wright and our ability to provide solutions at that tactical edge. But we're also doing things that we also are continuously looking at new capabilities that widen the application space where we can sell our products to keep pushing those walls out. And to name just one, we recently achieved Microsoft Azure validated across several of our small form factor products. And that means these products have been added to the Microsoft Azure local or catalog, which obviously has a huge customer reach. And so that's something we're very excited about. And again, another notable capability of taking cloud applications to the tactical edge. So I list those to say these are the types of things the team is always doing that is ensuring that, that pipeline is healthy and growth in spite of the fact we did see the pushout in Q3. So Chris, I don't know if you want to add some color on the segments.
K. Farkas: Sure. Yes. Let me try to jump into some of the numbers here, Myles. And I think it's important to note, I think, as you look at the overall orders and what's been happening for Curtiss-Wright, that we had a very strong first half in naval bookings. The first thing is if you just remove that off the table, we have seen sequential growth in our orders since Q1, and that includes Defense Electronics. So important to kind of pull that out. The Q3 book-to-bill was about 1.1x, and that was on 9% sales growth. We had a 1x book-to-bill in aerospace and defense, and we had a 1.2x in commercial. So the orders were up 8% year-over-year and the backlog was up 14%. We're at a record backlog right now at $3.9 billion. Diving into the segments and just the book-to-bill for the quarter, we were about 1.04 on Aerospace & Industrial, and we were about 1.14 in Naval & Power. We talked about the strength of the commercial aerospace orders and the nuclear orders on the call. But to dive into Defense Electronics, maybe just a little bit more on that topic. The order book did improve sequentially here in the third quarter. As Lynn had mentioned, the pushouts had affected that. It was a 1x book-to-bill. Had we not had the pushouts, we're confident that it would have been 1.1x book-to-bill. The backlog in that segment is up 3%. Strong revenue growth of 10%. It's above the prior year September backlog number. But the book-to-bill has been holding steady at 1x. So as we look ahead, I mean, right now, we're assuming that the shutdown is going to get resolved here in mid-November. We believe that once that gets resolved, it's a 30- to 45-day turnaround time before orders begin to resume a more normal flow. But fortunately, for us, the businesses that are most impacted are generally short cycle in nature, and we would expect to recover very quickly. So I think it's important to note that there's nothing that's affecting our 2025 guidance. Lynn mentioned the pipeline is strong. We have good confidence levels in 2026 and strong alignment to the customers' priorities. next year's defense spending between the budget and the reconciliation bill are up 13%. So we see positivity as we look out into the future. We just need these guys to come to agreement in the meantime.
Myles Walton: That's great. And Lynn, I'm sorry, just to clarify on your prior AP1000 comment, is the $10 million to $20 million of incremental content on AP1000, is that a historical benchmark of which I should think about it's grown 2 or 3x? Or is that the current benchmark?
Lynn Bamford: No, that's the historical benchmark, Myles, that we had back in the mid-teens.
Operator: And we'll go next to the line of Kristine Liwag with Morgan Stanley.
Kristine Liwag: And maybe following up on Myles' question on the AP1000 pricing. I just want to make sure we get it right. When -- I mean in the past, when you guys looked at your content, so each cooling tower used to be like $250 million roughly. And then so a build with a twin towers would be about $500 million. And I think the Poland one, they're doing triplets. So that would be $750 million. So the numbers that you're saying incremental to that, the 2x, 3x, is that off of that specific base? Or are we talking about the initial U.S. order from 2007, which is a much lower amount?
Lynn Bamford: So maybe just to back up a second. And if you look in our -- like even in our Investor Day briefing from last year, we think of as a plant, which has 4 RCPs, and that's how we've -- when we talk about our revenue per plant, that's the framework for it. We talked about we have $110-plus million of revenue per plant. So Poland is talking about building 6 plants. Bulgaria is talking about building 2 plants. Fermi is talking about building 4 plants. So that's just to keep the terminology because it's easy to get confused between the RCPs versus the plants and such. And so having that as a baseline, prior, we had the RCPs and about $10 million to $20 million of content per plant. And that is the area where we've been working very purposely to see where else we can supply Westinghouse as a supplier to them and engaging with them on different work scopes. And at this time, it looks like we are targeting taking that incremental on top of the RCP's content, that $10 million to $20 million and doubling it or tripling it. And it's still a work in progress as they're still working through their supply chain things, and we're just trying to be there and support them as much as we can to make them successful. So pretty excited that, that would be pushing that content per plant up into the mid-100s for sure.
Kristine Liwag: Got you. That makes sense. And maybe digging more into this on AP1000, I mean, it looks since your Investor Day last year, and we've seen a lot more support for U.S. large nuclear power plant builds. And so we've seen the support of executive orders from the White House. But then also last week, we saw Cameco and Brookfield established a transformational partnership with the U.S. government to accelerate deployment of Westinghouse nuclear reactors. I was wondering, can you give us more color regarding the potential of the U.S. market and the timing? And also following up on the expected order that you have for 2026, are you expecting a Poland order and the U.S. order? Or is that just Poland and Bulgaria?
Lynn Bamford: Yes. So we work very closely with Westinghouse to try and -- I mean, this is a fast-moving market, and that announcement was, a, just fantastic to see because it's really the money that needs to really get this machine running. So we are very excited to see that partnership get announced. And then there was also the announcement with Japan of putting some money into building nuclear in the U.S. And all these things are sort of taking form, but 2 separate pretty positive announcements in October relative to that. So really, what's in the public knowledge is funding for these 10 plants, how the Japan money overlaps with that, I don't think there's a clear vision of it. And we have some insights from Westinghouse, but really sticking to what's in the public eye. We're focused on those first 10 plants, which is great. And so today, the team still does believe the first order we get will be driven by the Poland opportunity, although Bulgaria is right there with it. And the thinking is those will be ahead of the U.S. But how this billion, which is targeted at long lead material types of expenditures is going to play out. That still needs to take some form. But -- so whether that happens in 2026 is very much TBD. I wouldn't foreshadow that yet at this point. But we do feel good overall about getting our first order in 2026, and the team is doing a lot of work to get ready for it and to think through the various ramp scenarios with this accelerated activity in the U.S. and then what's going on elsewhere, along with -- it's exciting that our work on our SMR opportunities continues to grow and move towards prototyping, too. So the team is busy. I'll leave it at that.
Kristine Liwag: Yes. I mean it seems like when it rains, it pours. And so can you just remind us, Lynn, what your capacity is to build an AP1000, especially because, right, the U.S. Navy content is also increasing. So just trying to understand what could you produce in a given year? And you had called out elevated CapEx this year or next year. What is that supporting? Is this in anticipation of commercial nuclear power or the opportunities in the other segments that you had highlighted?
Lynn Bamford: Yes. So we think of our capacity as 12 to 16 reactors per year. But again, that needs dovetailed exactly as you just said, with the naval work. And I will say the team is committed from a CapEx standpoint to our Investor Day targets of 105% free cash flow conversion. And we increased our CapEx spending both last year and this year by 30% each year. And a lot of that is geared around preparing for expansion in this space and the $10 million that Chris spoke of in his prepared remarks is geared at expansion capabilities tied to nuclear. And so how -- what we need to be prepared for to support Westinghouse is a very active discussion with them. But we're trying to make sure we're doing the things that were ahead of it. and prepared to support them and that $10 million is part of us getting ahead of it.
Operator: And we'll take our next question from Peter Arment with Baird.
Peter Arment: Nice results. Chris, maybe just to stay on the theme of AP1000. If you get an order in 2026, maybe could you just give us a high level how quickly you begin to recognize revenues on that? I remember back with the China direct order, how that all works back in the day, but maybe just to level set us on how quickly that begins to flow through on the financials? And then I have a follow-up.
K. Farkas: Yes, sure. I think we've had a lot of discussion on the call today regarding reactor coolant pumps and then other content, and I'll focus on the reactor coolant pumps to begin with. When we get that first order, I think a lot of it is going to depend upon the timing of receipts and long lead materials and how quickly we can get that in the door. Lynn has talked about the fact that we're in active discussions with our customer regarding capacity and how to accelerate potentially some of those flows. So as you look at the receipt of the order, it's going to be under POC accounting. And typically, in the past, it was maybe a 5-year bell curve. I think the China contract went out 7 years because their schedule was delayed. But with this flood of activity that we're seeing here, I could see that be accelerated into a tighter window than a 5-year period of recognition. So again, a lot is going to depend upon the timing of the material receipts and then the labor that kind of follows that. But there would be some revenue recognition upfront to 2026, but then it would quickly accelerate in 2027. When we talk about this extra or the other product that kind of can go into the AP1000 power plants, a lot of that won't be long lead material type items. You've got to get some of that bigger stuff into the plant first. So I would expect that to be recognized a little bit further towards the back end of the bell curve, but certainly an opportunity for us as well.
Peter Arment: I appreciate that color. And then just, Lynn, on the, I guess, near term more when you think about your targets that you put out there for a doubling of the business by 2028, did you contemplate a lot of these restarts that we're seeing, whether it's Palisades or Three Mile Island or some of the others when you were thinking about that planning just because it seems like that is, again, an incremental tailwind to all things else nuclear.
Lynn Bamford: Yes. I mean that was -- there might have been talk about it, but that was not on the table at a level that we would have had that in how we put together our targets. So there's a lot of things -- a lot of good things have happened since we put our targets out. Just 15 months ago, 18 months ago, however long it was, it's amazing how the industry has come alive. And announcements around Europe, the GBN announcement with picking Rolls-Royce. I mean, there's just -- there's a lot of things that are incrementally happening. But you're right, that is new.
K. Farkas: Yes. This whole AI wave has been something that's been new for us as well. That's a lot of positive momentum. And I would just remind the listeners is you go back and look at what we provided at Investor Day, and we said we would be doing $1.5 billion in annual commercial nuclear revenue by the middle of this next decade, that really only contemplated the European opportunity at that point in time. So I know we're still several years away from that in the middle of this next decade, but we feel much stronger and more confident in the art of the possible as it was labeled at that point than we did back in May.
Operator: And we'll go next to Scott Deuschle with Deutsche Bank.
Scott Deuschle: Lynn, are you seeing meaningful retrofit demand for the 25-hour flight data recorder yet? Or is it primarily only OEM demand at this point? And then how should we think about the retrofit gross margins on that product relative to the OE gross margins?
Lynn Bamford: So it is a blend, but a lot of the retrofit is, I think, staging of material to prepare for the retrofit more than the actual retrofits is our understanding with dealing with our customer that is Honeywell. And so I think that's very much another layer that's ahead of us as this market -- we just have continued to say it's going to continue to grow through the back half of the year as that comes to reality. But it's not even just the retrofit market, it is also we are working with Honeywell to figure out how we would have an appropriate product offering that would target the regional jets that are over 30 seats that are also part of this mandate. Those are obviously big, big numbers. And our work with Airbus continues on in a positive manner, and we think we will receive certification in the first half of 2026. And then we need to see how our production ramps with those. So we've really not given a 10-year view of revenue on this program yet because there are still a lot of moving parts that are taking form and really how this retrofit is going to take place is -- it's still a little bit of a work in progress. And really, we haven't given much color on the shipset content nor the margin on this for the OEM or the production. But I will say it's inside of our Defense Electronics segment, as you know, and we like the products we produce to support the margins in the segments.
Scott Deuschle: Okay. And then, Lynn, can you give an update on the state of the M&A pipeline and how we might think about the opportunity for a reacceleration in M&A activity in 2026?
Lynn Bamford: Yes. So I mean, it's -- we're not bashful about saying it's our top priority, and the team is definitely out there. We have some -- a couple of properties that we are having discussions with that are more ones that I like when we work with somebody possibly to come join Curtiss-Wright in a proprietary fashion more than we're in an auction. But I know some people have noted we've kind of acted that there was more excitement and then not announced anything over the past earlier part of 2026. I do remind everybody, we only closed on Ultra, I&C at the end of last year, changed by terminology at the end of last year. So that's going great. But we do have some properties we're looking at that are very strategic in nature for how they would add to our portfolio, and there's still a lot of focus on it. But strategic fit and financial fit. We're not going to overpay for a property. And some of the things that we thought were strategic fits, just the price tag, I just -- I don't think it would create value for our shareholders, and we're not going to do it if it won't.
Operator: [Operator Instructions] We'll take our next question from Nathan Jones with Stifel.
Nathan Jones: I guess I'll ask you a non-nuclear question. You talked about a stabilization in industrial vehicles and maybe a little bit of a positive inflection in orders during the quarter. So maybe just a little bit more color on regions, geographies or end markets that might be driving that improvement or any color you've got for us there?
K. Farkas: Yes. So I'll start out. I mean, obviously, it's been a very challenging situation for industrial vehicle markets as a whole. And the team has been doing a great job at staying above that and flat for the year. I think as we position ourselves for this next year and look forward, while we do recognize that the North American on-highway markets are going to continue to be challenged, we do feel that there are some opportunities in pockets in Europe as the team continues to try to expand its customer and market reach in a few areas. But the team is doing -- we're seeing some good signs within the order book. We actually had an improvement here in the third quarter that was roughly 4% year-over-year. And again, I'm sometimes reluctant to talk about these data points that are hot off the presses, but we're we had a very strong October. And that's a real positive kind of a standout month over the past few years. And with the conversations that we're having with some of our customers, we feel like we're positioning ourselves for a very strong fourth quarter. So I don't want to diminish the fact that there will be challenges again for this market in '26. We expect uplift in '27. But the team is doing a great job, and they continue to kind of push the boundaries to gain more share.
Nathan Jones: Then maybe one just on -- following up on the government shutdown potential impact. I think historically, that's when we've had these kinds of disruption, it tends to make the Defense Electronics business, especially maybe a little more second half weighted once it gets resolved. But I think, Chris, you were talking about some of the delays being more on the short-cycle side. So maybe just any color you can give us on expected cadence through the year in 2026 relative to historical patterns just based on what's happened so far and what you know so far?
K. Farkas: Yes. So we have been very focused over the past few years of trying to make the fourth quarter less dramatic. And I think as you look at what's happening here in the fourth quarter, we've got very strong backlog. We raised the bottom end of our guidance here to show a little bit of increased confidence as we go to close out the year in 2025. But to the extent that the government shutdown continues and we have delays in the receipt of those orders, yes, it will take a little bit of time to kind of pick back up. So I'm assuming that there will be a little bit more pressure on Q1 at this point in time than there would historically and that, that will force us to be a little bit more back half weighted. But we are confident in the orders that are out there and coming our way, and we'll cautiously balance that against things like advanced buys and other positions in inventory that will help us to kind of recover and deliver those revenues to our customers as fast as possible because I know that they want the orders, they want the part, they're equally disappointed with what's happening here right now. So I would expect there to be a little bit of pressure on Q1, but then we will recover over the course of the year, and we'll continue to try to keep the fourth quarter from being a dramatic data point.
Operator: And we'll go next to Pete Skibitski with Alembic Global.
Peter Skibitski: Nice quarter. I wanted to ask specifically about the Switzerland business and defense electronics, the Turret Drive stabilization business because it seems like some of your key customers like Rheinmetall, for instance, are getting a good amount of new orders for ground vehicles. So I just wonder if you could talk to kind of the visibility in that business. It seems like the growth outlook could maybe even outperform your -- the rest of that segment. So I was wondering if you could talk that through with us. And maybe valid also, I'm assuming that unit doesn't use commercial pricing unlike some of the rest of DE. Maybe you can clarify that as well.
Lynn Bamford: So this is just to put the nature on the team and they have been part of Curtiss-Wright for several decades. It's had periods of strength years gone by. We talked about the Kingdom of Saudi Arabia program about a decade ago when it was on a growth trajectory. And prior to the Ukraine war and such, it had been a very slow growth portion of our business. We expected it to pick up when -- I think when Europe woke up and realized what they had for militarized vehicles. And it has been slower than we thought, but it's pretty exciting that it does feel like it has turned the corner and those orders are going to deliver. And we have a very good relationship with Rheinmetall and their strategic partner for turret drive stabilization. It was nice -- I mentioned in the prepared remarks, the win for the XM30. So that's a first for them getting outside of the European market. But Germany is kind of leading the charge of being committed to ramping their vehicles, and we're very much aligned with them to be participation of that. So I don't think it's appropriate really to talk about the pricing at this point. They're not subject to the far, obviously. And the product does have applicability into some commercial markets outside of defense. We sell it into tilting trains and a couple of other end markets. So there is a commercial capability, but I'll just leave it at that.
Operator: And we'll take our next question from Tony Bancroft with Gabelli Funds.
George Bancroft: Congratulations, Lynn, Chris and Jim, great numbers and great job doing -- managing this. I just had a bigger picture here. You have 4 businesses that have very strong growth outlooks going forward, a lot of secular tailwinds for the long term. And you've talked about M&A relighting. Can you just maybe sort of just very high level, walk me through -- these are 4 big opportunities. How do you see you prioritize them? I mean you only have so much CapEx that you can probably do and reinvesting in the business. Can you sort of prioritize those for me?
Lynn Bamford: So I think we've been pretty transparent that our CapEx allocation and acquisition focuses over the recent past have been around our aerospace and defense and commercial nuclear markets. And those are priorities for the company in places where we see really strong growth, really differentiated technologies. But I think one of the things we always remind people of you take just, for example, pick one thing randomly, the electromechanical actuation capability that goes into industrial markets. It also is the same capability, engineering teams, manufacturing floors that builds this for the aerospace and defense market. So even though our business lays on paper as if it has these different buckets and there's isolated pieces, from an engineering capability, manufacturing standpoint, our businesses are intertwined across those end markets. And it's something we're proud of and pursue that we've always believed that investing in a technology once and taking it to different end markets is part of how Curtiss-Wright has achieved the margin expansion we've achieved over the past years. And the latest very visible example of that is the flight data recorder technology that was developed over decades ago for defense applications and now has this fantastic foothold in the commercial application. So I know I didn't really directly answer your question, but it's hard because the -- I see a business and I see it going across many of our end markets. They're not just like I can look at that business over there and that business over there and say it's just serving one of the end markets.
Operator: And we do have another question. We'll go to Alexandra Mandery with Truist Securities.
Alexandra Eleni Mandery: This is Alexandra Mandery on for Michael Ciarmoli with Truist Securities. How are you guys thinking about 2026 in terms of growth trajectory for end markets and margin expansion?
Lynn Bamford: So I touched a little bit on 2026 in the prepared remarks that we feel good about driving growth across all 3 of the segments. So that's really positive. There's -- I try to talk about with some of the things that are going on in those closing remarks of what are the market dynamics, what are our technologies that support you can look at things in the industry, whether it's the growth rates in commercial aerospace that Boeing and Airbus are talking about the defense spending to all things nuclear is sort of the ones that are top of everyone's minds that will support that growth into 2026. We do believe we'll be well ahead of our 2024 Investor Day targets really down the line. And we're committed to driving operating margin expansion faster than cash, and we'll be giving more specific guide, obviously, on 2026 when we close out the year and have our Q1 call.
K. Farkas: So I would just say, I hope we were able to kind of project some of that confidence in the script today. We -- in the areas that we kind of called out. We're excited for what's happening now and as we look out into the future.
Operator: At this time, there are no further questions in queue. And I would like to turn the floor back over to Lynn Bamford, Chair and Chief Executive Officer for additional or closing remarks.
Lynn Bamford: Thank you, everybody, for joining us today, and we look forward to speaking with you possibly on the road or with our Q4 results out in the beginning of 2026. So have a good day.
Operator: Thank you. This concludes today's Curtiss-Wright earnings conference call. Please disconnect your line at this time, and have a wonderful day.